Operator: Good day, and thank you for standing by. Welcome to the DPM Metals Fourth Quarter and Full Year 2025 Earnings Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Jennifer Cameron. Please go ahead, ma'am.
Jennifer Cameron: Thank you, and good morning. I'm Jennifer Cameron, Director of Investor Relations, and I'd like to welcome you to the DPM Metals Fourth Quarter and Year-end Conference Call. Joining us today are members of our senior management team, including David Rae, President and CEO; and Navindra Dyal, Chief Financial Officer. Before we begin, I'd like to remind you that all forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for the purposes of today's call. Certain financial measures referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures or ratios. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management's reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call are related to continuing operations and have generally been rounded. References to 2024 pertain to the comparable periods in 2024 and references to averages are based on midpoints of our outlook or guidance. I'll now turn the call over to David Rae.
David Rae: Good morning, and thank you all for joining us. 2025 was an excellent year for DPM and demonstrates DPM's strength of disciplined capital allocation and operational excellence that underpin our strategy to be a premier mining business. First, we are a sustainable, responsible and efficient operator. In 2025, we achieved our gold production guidance, extending our operational track record to an exceptional 11 years. At the same time, we continue to deliver strong margins with an all-in sustaining cost of $1,082 per ounce of gold sold compared to an average realized gold price of $4,323 per ounce. Most importantly, we've accomplished all of this while maintaining a high standard for responsible mining with a strong safety and environmental track record that has ranked us at the top of our industry for the past 5 years in the S&P Global Corporate Sustainability Assessment. Second, we're focused on developing quality assets. In 2025, we transformed our growth profile by acquiring the high-margin Vares operation, advancing Coka Rakita to feasibility while defining Dumitru Potok and outlining a 10-year mine life with potential to extend at our flagship mine, Chelopech. We completed an initial mineral resource for the Rakita camp, which together with the results for Coka Rakita, confirms the Rakita camp is a Tier 1 gold asset for DPM, offering a rare combination of scale, grade and longevity. Third, we maintain a strong financial position to support our growth. We've consistently delivered free cash flow generation, including a record $505 million in 2025, and we returned over $145 million to shareholders through dividends and share repurchases. And we currently have $1 billion of immediate liquidity to deliver high-return growth. Overall, we were pleased to see our accomplishments in 2025 result in DPM being one of the top performing stocks of mid-cap precious metals producers. As we enter 2026, we are focused on execution and growth, delivering an average of approximately 350,000 ounces of gold equivalents annually over the next 3 years and continuing to maintain our competitive cost position. Turning to Vares, the new addition to our portfolio and a key driver of our near-term growth, integration and ramp-up activities are continuing to advance very well. From day 1, we focused on embedding DPM's health and safety practices at Vares, ensuring the well-being of our people remains our top priority. Development rates have continued to progress in line with plan and mine production recommenced in January. This progress is the result of our efforts to transform training programs for local employees and engaging with stakeholders, both important steps as we build a strong foundation for long-term success. Our 2026 guidance for Vares reflects this fact, and this is a transitional year for the operation. Production is expected to increase quarterly as we progress the ramp-up to 850,000 tonnes per year as a rate we expect to achieve in Q4 and then continuing in future years, with the second half of this year represents approximately 2/3 of our 2026 production. This year, we're accelerating precious metals production with gold and silver production higher than previously communicated in the PFS for gold equivalent production of over 100,000 ounces. Cash flow and margins are expected to be higher than the PFS as a result of the increased precious metals production and higher prices, more than offsetting higher operating costs that we anticipate this year. Consistent with our approach across all of our operations, we will continue to evaluate opportunities to optimize the cost structure for 2027 and beyond, targeting the cash cost per tonne metrics outlined in the technical report. Our track record of optimizing assets and driving efficiencies gives us the confidence that we can unlock additional value at Vares just as we've done at Chelopech. In short, Vares is off to a strong start, and we're excited about its contribution to our growth in the years ahead. Turning now to Chelopech, our flagship asset that continues to underpin our success. We're expecting consistent high-margin production in line with the updated life of mine plan we published last week. We're pleased to achieve our target of increasing Chelopech's mine life to 10 years. However, it is important to note this does not incorporate the potential of the new Wedge Zone Deep discovery and the prospectivity of Chelopech North and the Brevene exploration licenses. With results from drilling to date demonstrating grades higher than reserve grade, the Wedge target represents an opportunity to enhance mill feed grades and gold production potentially from 2029. Initial drilling results from this discovery made in a relatively underexplored area of the mine concession demonstrate this is an area of high -- that is highly prospective for additional discoveries. We are currently completing a 10,000-meter drilling program in the first quarter and expect to provide an update in the second quarter. Additionally, we expect the Chelopech North concession to be granted this year and concurrently, the Brevene exploration license is progressing through a well-defined permitting regime. Our growth priority in 2026 is advancing Coka Rakita permitting to support a construction decision. Late last year, we completed the feasibility study for Coka Rakita as planned, confirming robust economics for a high-margin underground gold mining operation, contributing almost 190,000 gold ounces annually for the first 5 years at first quartile life of mine all-in sustaining cost of $644 per ounce of gold sold. Based on the positive results, we're proceeding to execution readiness and construction permitting with first concentrate production anticipated in the first half of 2029. In November, we achieved a key permitting milestone with the approval to initiate the Special Purpose Planning process. Permitting activities continue with a detailed permitting time line focused on supporting start-up of construction in early 2027. Most baseline studies required for the environmental and social impact assessment have been completed and the approval and adoption of the Special Purpose Spatial Plan is expected in the second half of 2026, following which DPM anticipates submitting the exploitation field application in accordance with the Serbian permitting process. We are maintaining close and proactive engagement with the relevant authorities to support this permitting process, and we remain confident in the overall progress at Coka Rakita. In terms of our exploration activities at the Rakita camp, in early December, we announced initial Mineral Inferred (sic) [ Inferred Mineral ] Resource Estimates for Dumitru Potok, Frasen and Rakita North of 2.6 million ounces of gold and 1.9 billion pounds of copper. The mineral resource estimates demonstrate the Rakita camp's potential of the district-scale gold-copper system with all 3 prospects remaining open in multiple directions and sitting alongside several other high potential targets along a 6-kilometer trend. Within 14 months of announcing these initial discoveries, they've rapidly grown into a significant gold-copper inferred mineral resource, a remarkable achievement over a short period of time, underscoring the significant potential of the Rakita camp. Drilling is currently paused on the Rakita license, the Coka Rakita license pending the normal course renewal of permits and is anticipated to recommence in the second quarter of 2026. Upon renewal of the permit, we're planning 20,000 meters of drilling, of which a significant portion will be allocated to infilling and extending mineralization at Dumitru Potok and increasing drill density prior to initiating any PAA -- PEA or other economic study Meanwhile, active drill testing is ongoing on the neighboring Potaj Cuka license to the north of the Rakita license. Before handing the call over to Navin, I'll summarize our 2026 priorities. We intend to deliver on the ramp-up at Vares. We're going to be advancing Coka Rakita to a construction decision, and we're going to be following up on the significant exploration potential within our existing portfolio, both in Serbia and in Bulgaria, each with the potential to drive meaningful value for our shareholders. We will continue to execute on these priorities with the same commitment to responsible, efficient mining, financial discipline and value creation. I'll now turn the call over to Navin for a review of our financial results and a detailed look at our guidance.
Navindra Dyal: Thanks, Dave. I'll be touching on the financial highlights for the year, provide an overview of our 2026 guidance and updated 3-year outlook and conclude with some commentary on our balance sheet and return of capital program. All of my remarks will focus on results from continuing operations unless otherwise noted. Looking at our financial highlights for the year, we achieved consolidated production and costs in line with our guidance and delivered record financial results, including revenue of $950 million, adjusted net earnings of $443 million or $2.39 per share. Cash flow provided from operating activities of $492 million and free cash flow of $505 million. Our record financial results reflect our strong operating performance, the low-cost nature of our operations, a favorable commodity price environment and the initial contribution from Vares following the closing of the acquisition of Adriatic last September. Looking at our earnings and cash flow in more detail. Revenue was higher than the prior year due primarily to higher realized metal prices and post-acquisition revenue from Vares, partially offset by lower volumes of gold sold at Ada Tepe. Adjusted net earnings increased compared to the prior year due primarily to higher revenue, partially offset by higher cost of sales and higher mark-to-market adjustments to share-based compensation expenses. Adjusting items, net of taxes, not reflective of the underlying operations of the company include a $27 million noncash fair value adjustment on inventories at Vares recognized in cost of sales. The 2025 Bulgarian levy of $22 million, acquisition-related costs for Adriatic incurred by DPM of $15 million. The fair value -- and the fair value adjustment on Vares copper stream liability of $9 million. Cash flow provided from operating activities was higher than the prior year due primarily to higher earnings generated in the period, partially offset by the timing of collections from sales and payments to suppliers, the payment of the 2025 Bulgarian levy and higher income taxes paid. Free cash flow, which is calculated before changes in working capital, was higher than the prior year due primarily to the higher earnings generated in the year. Taking a look at our cost metrics. All-in sustaining costs of $1,121 per ounce of gold sold for the year were 29% higher than the prior year due primarily to higher mark-to-market adjustments to share-based compensation expenses, lower volumes of gold sold and a stronger euro relative to the U.S. dollar, partially offset by higher by-product credits reflecting higher realized prices for copper and silver sold. Mark-to-market adjustments for share-based compensation expenses resulted in an increase of $242 per ounce of gold sold in 2025 compared to only $28 per ounce of gold sold in 2024. In terms of our capital spending, sustaining capital expenditures of $33 million for the year were lower compared to 2024 due primarily to changes in deferred stripping costs at Ada Tepe as a result of the changes to the stripping ratios compared to 2024, and it was in line with the mine plan. Growth capital expenditures of $56 million for the year were higher than the prior year as a result of costs related to the Coka Rakita project being capitalized from the beginning of 2025. Last night, we provided an updated 3-year outlook for production and all-in sustaining costs. Following the addition of the silver and polymetallic Vares mine, we are transitioning to gold equivalent ounces reporting for production and all-in sustaining costs. We will no longer be reporting all-in sustaining costs on a byproduct basis. Over the next 3 years, metal production is expected to average approximately 350,000 ounces of gold equivalent ounces per year. The growth in production is driven primarily by the contribution from Vares and stable production at Chelopech, partially offset by lower production at Ada Tepe as it reaches the end of its mine life by mid-2026. All-in sustaining costs over the next 3 years is expected to average approximately $1,450 per gold equivalent ounce sold. This outlook incorporates variations in metal production and sales year-over-year as well as the impact of higher local currency operating costs, combined with a stronger euro relative to the U.S. dollar assumption in 2026 as compared to 2025. At Vares, as the mine achieved commercial production, we will be evaluating opportunities to optimize the cost structure in 2027 and beyond, targeting the cash cost per tonne metric outlined in the Vares technical report. We are forecasting higher investment in exploration over the next 3 years, reflecting our success in generating value through exploration, especially in 2026 with potential to increase in future years dependent on the success of the company's exploration prospect. Sustaining capital expenditures over the next 3 years show stable spending at Chelopech and primarily underground capital development at Vares. Our 3-year outlook for growth capital primarily relates to the Coka Rakita project, which is expected to commence construction in early 2027 and achieve first production concentrate in the first half of 2029. In 2026, growth capital expenditures also include expenditures related to Vares to support the development and ramp-up to commercial production as well as limited expenditures related to the Loma Larga project, pending resolution of the revocation of the environmental license. We continue to maintain a strong balance sheet with a consolidated cash balance of $498 million, no debt and a new undrawn credit facility. The new credit facility has capacity of $400 million and an accordion feature that takes capacity up to $550 million with more favorable terms, added flexibility and lower pricing. The strength of our balance sheet is a testament to our focus on disciplined financial management, providing us with the flexibility to fully fund growth and our exploration process. We've consistently demonstrated our disciplined approach to capital allocation, which is based on 3 fundamental considerations: maintaining a strategic cash position to fund organic growth and pursue strategic transactions, reinvestment in the business to grow value and the long-term sustainability of the business and returning excess capital to shareholders through a mix of dividends and share repurchases with a view to maximizing total shareholder returns over the long term. We remain focused on returning capital to investors through dividends and share repurchases, reflecting confidence in DPM's future and our commitment to generating shareholder value. During 2025, we returned a total of $145.5 million to shareholders through the repurchase of approximately 10 million shares for a total cash payment of $116.1 million and $29.4 million of dividends paid. Our current NCIB expires in March. Board of Directors has approved the renewal of the NCIB subject to approval by the TSX. Reflecting our confidence in DPM's future and commitment to shareholder value for the calendar year 2026, the Board of Directors has authorized the repurchase of up to $200 million of the company's shares -- $200 million worth of the company's shares. In closing, we continue to deliver strong performance from our mining operations, and we are in a strong cash position to achieve our guidance and continue our track record of generating significant free cash flow. I will now turn the call back to Dave for concluding remarks.
David Rae: Thanks Navin. This is an exciting time for DPM and our shareholders who were rewarded in 2025 with top quartile share price performance. Our future as a growing precious metals producer offering a peer-leading development pipeline, a proven approach to capital allocation, underpinned by an exceptional operational track record for continued share price appreciation. We remain focused on executing our strategy to deliver above-average returns for our shareholders as a mid-tier precious metals company with a clear path forward to drive value. I'd now like to open the call for any questions.
Operator: [Operator Instructions] Our first question will come from the line of Fahad Tariq with Jefferies.
Fahad Tariq: On Coka Rakita, the permitting, can you maybe just talk through the specific remaining permits? Is it just a special purpose spatial plan? Or is there something else? And have there been any surprises so far as you've gone through the permitting process?
David Rae: Yes. Thanks for the question. So there are a couple of different things that comprise the work that's required to be completed to get the EIA and the permitting for construction. So at the moment, we have a number of things happening at the same time. The one is this Special Purpose Planning process, which effectively is like a land use permit, where what we do is we give information on what it is that we plan to do. So this will be road access, land conversion, use of things like power, water, tailings, rehabilitation, all of these things. And the way that works is that the government requests input on a standard process looking for what are the other things that people might want to see in the work that we submit such that we can provide confidence and clarity in terms of what it is that we need to do. That process of those questions has been completed, and there is a group together, which is now progressing this work that will be required for us to answer the SPSP process as we call it. So we anticipate that over the next couple of months, we're going to respond to those questions, recognizing the bulk of that work is already done as part of our engineering process and really just looking at any remaining questions that there may be that we provide input into. So we anticipate that being done early in the second half of the year. In addition to that, we're also going to be completing a Serbian feasibility study, recognizing, again, a lot of that work has already been done, but you need to do that with local companies and local engineering people, part of them are actually already within our project team. So we'll be completing that at the same time and anticipate that being ready in Q -- let's say, Q4, early Q4 of this year. On top of that, we'll be looking to complete an EIA and looking for approval of that late this year, early next year, let's say, January. And then with all of that, we anticipate we'll be in a position to have a construction permit. So again, early in the first quarter next year. Hopefully, that helps.
Fahad Tariq: That's very clear. And then on the Rakita camp, I guess, a drilling permit, is that just a normal course? Is there anything different there?
David Rae: Yes, it's normal course. So we get an 8-year exploration license, which runs in 3 plus 3 plus 2. We've completed the first 3 years of activity. We then provide a report saying this is what we did relative to what we said we were going to do. Here's what we plan to do in the next phase. All of that has been done, and we're just waiting now for the response from the ministry. So it is normal course.
Fahad Tariq: Okay. And then finally, just switching gears to just more strategically on M&A. I noticed the upsize to revolving credit facility. Loma Larga, sounds like the environmental permit still needs to be resolved there and spending has been minimized. I don't know, just piecing it all together, is there something to read through in terms of potential M&A and potential acquisitions to replace Loma Larga with something else?
Navindra Dyal: Yes. Maybe I'll just start with the revolver here. So, yes, the revolver is essentially a working capital facility for us. So it's not meant to be for any given particular purpose around M&A transactions. It's really just for us to have that available liquidity. So maybe I'll turn it back to Dave to maybe respond to that.
David Rae: Yes, don't need anything into that in terms of the project activity that we have gone forward or the potential status or intent in terms of Loma Larga. With Loma Larga, we're intent on preserving value. And to that end, we said initially that we would let things flatten down. And then there's going to be a necessity of a few different activities, but part of which includes engagement. So -- we'll talk more about Loma Larga as we progress through this year. I think there's been a couple of thoughts along the lines of where is our primary focus as an organization. And pretty clearly, that's within the Balkans at the moment, where we have both Chelopech with an extended mine life. We've got some -- a lot of excitement around Vares and our ability to make things happen there plus tremendous success of our exploration team in Serbia and also Chelopech.
Operator: [Operator Instructions] Our next question will come from the line of Eric Winmill with Scotiabank.
Eric Winmill: David and team, congratulations on the strong quarter here. Just a quick question on my side, if you don't mind, on Bulgaria. Any additional updates there in terms of what you're seeing on the ground? It sounds like we're having election possibly later this year. I know they took on the euro earlier as well. Also maybe some changes to the royalties here, but it looks like Chelopech is mostly grandfathered. Wondering if that's the same for the new concessions as well or some of the outlying areas. I appreciate it.
David Rae: Okay. So the euro is a seamless transition. That, of course, we've been fixed in terms of the Bulgarian led to the euro. for many, many years now. And that now recently has translated into a full adoption within not just the Euro zone and membership from the EEA to the EU, but also with the acceptance adoption of the euro from the 1st of January. So all of that's gone well. In terms of the election process, you're correct. There is actually an election that's anticipated that's going to be at some point in April. This is not unusual, and we've had quite a few changes in government over the last number of years. There's a well-understood set of processes around working with the authorities on mining, and we've not seen any changes in that with changes in government. So happy to say that it's sort of operations normal in terms of what we're doing. And yes, we do anticipate that there's going to be some elections coming up in April. The last question that you asked was about the royalty. There was a royalty for those mines whereby there was a clause -- sorry, Navin, did you want to...
Navindra Dyal: Yes, I could just jump in here. Yes. So Eric, on January 30, the Bulgarian government adopted new royalty rates for mining concessions, increased the royalty rates for gold from 2% to 6% and for copper from 2% to 5%. Now you're right as well, these new rates do not apply to the existing Chelopech concession, which has fixed royalty terms. They do apply minimally to Ada Tepe, but given that Ada Tepe is reaching the end of its mine life, we've already included that in our outlook for next year -- or for this year. Now the Chelopech concession does expire in 2029, and we do expect that the new rates to apply upon the renewal. And as well as to your question around whether applies to the concessions? It would apply to any new concessions we have such as Chelopech North or Brevene concessions once those concessions been granted.
David Rae: Yes. So the difference between the timing of the 2 different permits, the concessions between Ada Tepe and Chelopech. Chelopech was already in place and has no clause or increases, which can be brought in. That's why we're confident that stays until we renew the concession, whereas Ada Tepe was something new that was brought in and say, 2016, 2017 and in that, if there were any changes then they would apply. So that's why the difference between the two.
Eric Winmill: Okay. Fantastic. Really appreciate the extra clarity. Maybe just one more from my side, if you don't mind in terms of M&A. How important do you see M&A as part of your strategy here going forward?
David Rae: So we're obviously very opportunistic in terms of if we identify something that makes sense as an organization, that we'll act on it. But I think you can also see, Eric, that we've had a great deal of success in terms of developing our organic growth portfolio. And happy to say that from where we were 5 to 6 years ago to where we are now, we're in a very different position. So we continue to watch for M&A actively, but we need something that would make a difference and that we're not chasing on value in order to pick something up. So no necessity to have something. But if we find something of interest, we'll certainly engage. So at this point, though, regardless, if you look at adding 4 million gold equivalent ounces last year, that certainly sends a message in terms of what we can do with our existing portfolio. So we look but no need to engage unless we see something particularly interesting that's going to really help create something accretive to the organization going forward.
Operator: I would now like to hand the conference back over to Jennifer Cameron for closing remarks.
Jennifer Cameron: Great. Thanks, everyone, for joining us today. If there's any further questions, please feel free to reach out, and we look forward to talking to you guys over the coming weeks. Thanks, and take care.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.